Operator: Hello, ladies and gentlemen. Thank you for standing by for LightInTheBox's Fourth Quarter and Full Year 2023 Earnings Conference Call. At this time, participants are in listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference call is being recorded. I will now turn the conference call over to your host, Ms. Jenny Cai. Please go ahead, Jenny.
Jenny Cai: Thank you, operator. Hello, everyone, and welcome to LightInTheBox fourth quarter and full year 2023 earnings conference call. The company's earnings results were released via newswire services earlier today and are available on the company's IR website at ir.lightinthebox.com. On the call from LightInTheBox today are Mr. Jian He, Chairman and CEO; Ms. Yuanjun Ye, Chief Financial Officer; and Ms. Wenyu Liu, Chief Growth Officer. Mr. He will provide an overview of the company's strategies and recent developments, followed by Ms. Ye, who will go over its financial results. Following our prepared remarks, we'll open the call to questions. Before we proceed, please note that today's discussion may contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from the company's current expectations. To understand the factors that could cause results to materially differ from those in forward-looking statements, please refer to the company's Form 20-F filed with the Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Please also note that LightInTheBox earnings press release and this conference call include a discussion of unaudited GAAP financial measures as well as unaudited non-GAAP financial measures. Please refer to the company's earnings press release, which contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. Now, I'd like to turn the call over to LightInTheBox' Chairman and CEO, Mr. He. Please go ahead.
Jian He: Good morning and good evening, everyone. Thank you for joining our fourth quarter and full year 2023 earnings conference call today. In 2023, as we strategically focused on high-quality development, we delivered hard-won results amid the challenging macro environment and increasingly competitive landscape. Notably, our full year revenue reached $629 million, up 25% year-over-year. Apparel remained our strategically core category and drove our sales, accounting for over 80% of total revenues. Thanks to our continuous efforts and the investment in our technologies and data analytics capabilities, we gained a great understanding of evolving contribution patterns, enabling us to better align our products, services and marketing strategies with consumer preferences and demands. More encouragingly, we are able to improve our profitability with our full year adjusted EBITDA loss narrowing by 34% year-over-year to $6.3 million. Heading into 2024, we are seeing an evolving operating environment and increasingly fierce industry competition. To navigate these market dynamics, [we will place] (ph) a greater emphasis on enhancing customer experience and honing our localized operations in key markets, such as the United States, to bring high-quality on-trend offering to more customers worldwide. Meanwhile, we will continue strengthening our brand awareness and visibility to attract organic traffic from potential customers, increase marketing efficiency, and improve the brand's overall competitiveness. As always, we are committed to pursue healthy sustainable development and delivering value for our shareholders in the long run. With that, I will now hand the call over to Yuanjun to go through our financial results.
Yuanjun Ye: Thank you, Mr. He. Good morning and good evening, everyone. Before we start the detailed discussion of our financials, please note that unless otherwise stated, all the financials we present today are in U.S. dollar terms. Now, let me start with our financial highlights for the quarter. In the fourth quarter, our total revenues decreased by 13% year-over-year to $136 million. Revenues from apparel decreased by 12% year-over-year to $109 million, representing 80% of our total revenues compared with 79% in the same quarter of 2022. Gross margin was 56% in the fourth quarter compared with 54% a year ago due to an increase in apparel sales as a percentage of revenue. Our total operating expenses decreased by 10% year-over-year to $80 million compared with $89 million in the same period of last year. The decrease was mainly due to our ongoing efforts to enhance our operational efficiency. Net loss was $4.3 million compared with $48.3 million in the same quarter of 2022. The difference was primarily due to a one-time impairment charge in the fourth quarter of 2022. Now, let me walk you through our 2023 full year financials. Total revenues reached $629 million, an increase of 25% year-over-year from $504 million in 2022. Revenues from apparel increased by 30% to $518 million in 2023 compared with $400 million in 2022, and represented 82% of total revenues in 2023 compared with 79% in 2022. Total operating expenses were $370 million compared with $289 million in 2022, primarily due to expenditures on marketing expenses. Fulfillment expenses and G&A expenses were 5.5% and 5.4% of total revenues, respectively, both representing percentage decreases from the same period last year. Net loss was $9.6 million compared with $56.6 million in 2022. Moving to the guidance. For the first quarter of 2024, based on information currently available and business seasonality, we expect net revenues to be between $70 million and $80 million. This concludes our prepared remarks. We'll be happy to take some questions now. Operator, please continue.
Operator:
Jenny Cai: Thank you once again for joining us today. If you have further questions, please feel free to contact LightInTheBox Investor Relations through the contact information provided on our website or Piacente Financial Communications. Have a great day.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.